Operator: Good morning, ladies and gentlemen, and welcome to Perrigo First Quarter 2024 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Tueday, May 7, 2024. I would now like to turn the conference over to Brad Joseph, VP Global Investor Relations. Please go ahead. 
Bradley Joseph: Good morning and good afternoon, everyone. Welcome to Perrigo's First Quarter 2024 Earnings Conference Call. I hope you all had a chance to review our press releases issued this morning. A copy of the releases and presentation for today's discussion are available within the Investors section of the perrigo.com website. 
 Joining today's call are President and CEO, Patrick Lockwood-Taylor; and CFO, Eduardo Bezerra. I'd like to remind everyone that during this call, participants will make certain forward-looking statements. Please refer to the important information for shareholders and investors and safe harbor language regarding these statements in our releases issued earlier today. 
 A few items before we start. First, unless stated, all financial results discussed and presented are on a continuing operations basis. Continuing operations for the quarter include the HRA Rare Diseases business, which was classified as held for sale after the quarter end and does not include any contributions from the divested Rx business which was accounted for as discontinued operations prior to its sale. 
 Second, organic growth excludes acquisitions, divestitures, exited product lines and currency in both comparable periods. All comments related to constant currency removed the impact of currency translation versus the prior year by applying the exchange rates used in the comparable measurement in the prior year's financial statements. And third, Patrick's discussion will focus solely on non-GAAP results, except as otherwise noted. See the appendix for additional details and reconciliations of all non-GAAP financial measures presented. And with that, I'm pleased to turn the call to Patrick. 
Patrick Lockwood-Taylor: Thank you, Brad. Good morning, good afternoon, everyone. I'd like to begin our call today by emphasizing the important strides we've made to further our One Perrigo strategy, deliver on our purpose to make lives better through trusted health and wellness solutions accessible to all. 
 Let's start by recapping our quarter 1 results against the expectations that we discussed in our fourth quarter 2023 earnings call. First, we plan the actions to augment and strengthen our infant formula business would have an impact on our first quarter EPS and they did. While infant formula actions drove an EPS headwind of $0.30 versus the prior year, first quarter EPS was approximately $0.06 ahead of our projection due to timing of infant formula shipments to customers. Actions taken in infant formula were impactful, but necessary. 
 The significant progress we have made sets us up well to achieve a quality controlled, reliable manufacturing environment, though there is much more work to be done. I believe that the quality and compliance actions and investments we have taken will strengthen our competitive position in the industry over the long term. 
 Also, as expected, SKU prioritization actions in CSCA weighed on quarter 1 organic net sales and EPS growth. However, these actions had multiple benefits, including gross margin expansion of 50 basis points across the enterprise in quarter 1, greater focus and more profitable areas of our portfolio and provides additional production capacity as we build out our blended branded business. 
 Next, as highlighted in our last earnings call, U.S. OTC retail inventories were above average entering quarter 1. As expected, retailer inventory destocking led to lower shipments of product to customers compared to prior year. Encouragingly, consumption across Perrigo's U.S. OTC business remained healthy at plus 1.9% over the last 13 weeks ending March 24. Based on current consumption trends, we believe that retail inventory levels should normalize during quarter 2. 
 Finally, CSCI continues to [ fire ] on all cylinders. Organic net sales in the quarter grew 7%, and operating margin expanded 290 basis points versus last year to 19.7%. Collectively, the first quarter was a good start to the year as we delivered against our commitments, and we remain on track to achieve our goals in 2024. 
 Turning to our first quarter financial highlights. As just discussed, first quarter net sales were heavily impacted by infant formula in addition to SKU prioritization actions to enhance margins as part of our supply chain reinvention program. These factors caused a decline in reported net sales of more than 8%. Organic net sales declined 7%, which comprised 3 major components. An impact of minus 4.3 percentage points from infant formula, an impact of minus 3.6 percentage points from SKU prioritization actions and organic net sales growth of plus 1 point from the rest of our business, driven by strong performance in CSCI and the launch of Opill. 
 Quarter 1 gross margin declined 90 basis points to 36.5% which comprised an unfavorable 280 basis points impact from infant formula, 50 basis points benefit from SKU prioritization actions and a 140 basis point benefit from the rest of the business led by gross margin expansion in U.S. OTC and Oral Care. As I said, first quarter EPS was ahead of projection but was down $0.16 from a year ago to $0.29 per share. Infant formula had an unfavorable $0.30 per share impact and SKU prioritization actions had an additional $0.06 impact. These headwinds more than offset EPS growth of $0.20 per share from the rest of the business. 
 Digging a bit deeper into net sales. We delivered solid performance in women's health which was led by the U.S. launch of Opill and in skin care, which benefited from robust growth in our Compeed in Mederma brands. Compeed achieved net sales growth of 56%, not incorporating distributed transitions that impacted sales in the prior year, driven by market share gains and the successful product line extension of compete spots. 
 Mederma net sales grew 51% in the quarter driven by Mederma Cold Sore, which added incremental sales to the brand and strong growth in e-commerce. Net sales across most global categories was impacted by SKU prioritization actions in CSCA, which weighed most heavily on skin care, pain and sleep aids and digestive health. Inventory destocking at U.S. retail customers also affected growth, as I just discussed. This impact was most notable in cough cold due to a lighter season than prior year and industry-wide supply in recoveries. 
 Quick note on the U.S. allergy season. There has been a recent uptick in incidence levels and consumption over the past 13 weeks. A strong and prolonged allergy season could drive the need for customer replenishment even as U.S. retail inventories normalize. If a strong season does materialize, we're in a very good position to take advantage. 
 Looking at our 2024 operational priorities. I'm pleased to say we remain well on track. First, we are making good progress augmenting and strengthening our infant formula business and are working to recover manufacturing volumes. We also executed the nationwide launch of Opill in the U.S. More details on both of those in a few moments. 
 We also continue to benefit from accretive priorities. First, we are on track to deliver a total of $25 million in incremental HRA synergies as we complete integration activities. Second, our supply chain reinvention program drove gross savings of $12 million in the quarter and gross margin expansion of 50 basis points from SKU prioritization actions. And third, Project Energize attained $17 million of cost savings in the quarter, and we remain on target to deliver $140 million to $170 million in pretax annualized savings by 2026. 
 Turning to infant formula. As the leading U.S. manufacturer of store brand formula, Perrigo plays a critical role in the health and wellness of hundreds of thousands of babies every year. Over the past few months, we have made significant progress to augment and strengthen our infant formula manufacturing network. This included, in some instances, pausing production for comprehensive cleaning and infrastructure improvements, in addition to enhancements of quality protocols and manufacturing processes. 
 At this point, any planned large-scale plant resets have been completed, and we are progressing to the next phase of our quality and operational enhancements. This next phase includes further policy and procedural enhancements at the site level. In addition, we are making further investments in infrastructure and people as appropriate. 
 Importantly, we do not expect this continuing body of work to result in extended shutdowns beyond normal maintenance activities. The recovery of manufacturing volumes is expected to continue to build throughout 2024, stemming from longer quality hold times and faster, shorter campaign style production runs. Sales volumes are expected to improve during the second half of this year, followed by market share recovery. All of this is in line with our original outlook. Stabilization of infant formula will remain a journey and I'm pleased with the progress we have made.
 Maintaining quality compliance is core to Perrigo's business and culture. We will continue to invest in quality, capacity and other enhancements as we bolster quality-controlled reliable manufacturing across our network.
 With the launch of Opill, Perrigo has taken a historic step for women's health by creating an entirely new OTC category for oral contraceptors in the U.S. During the quarter, the Opill team executed the most revolutionary and holistic product launch in the history of Perrigo. Launch was broad and Opill can now be found at more than 65,000 retail locations across the U.S. in addition to major e-commerce retailers. 
 The response to this launch has been really amazing from customers to academics and now consumers. The Opill launch program encompasses a 360-degree approach to drive awareness. This began with a coordinated prelaunch campaign that drove highly positive sentiment. This resulted in high awareness for Opill even before our formal media campaign ramps up over the coming weeks. Through activation plans, strategic partnerships, including a newly announced partnership with the WNBA and the increasing support of public and private health care plans, Opill is revolutionizing the landscape for women's health. 
 Early Opill consumption and conversion metrics are encouraging. Through the first few weeks of activation, consumer time to conversion on opill.com has been impressive with limited touch points. The time to conversion demonstrates that our team has the right strategy in place to guide consumers through their decision journey and promote repeat usage, which will ultimately determine the long-term success of Opill. I'd like to congratulate our team, partners and supporters who've played a vital role in the early success of Opill. Perrigo is committed to advancing women's health, and we'll look to further innovate and provide accessible solutions that empower women to take charge of their own self-care journey. 
 Now I would like to share an update on our blueprint for One Perrigo. The work we have conducted to identify our winning portfolio is clarifying how we will leverage our core competencies and strengths within our respective categories. Strategies within each category will depend on the long-term value creation potential and our right to win. These factors will shape various category management objectives, including top line growth, profitability and cash generation. 
 Fuel growth across our portfolio, we must continue to invest in innovation, sourcing and new avenues of differentiation to deliver consumer preferred offerings. Work to bolster our innovation pipeline is underway and will take time to fully develop. But we are approaching this objective from a position of strength and we'll work with our retail partners to lead category growth in the self-care aisle. Our U.S. store brand business remains a cornerstone of the Perrigo portfolio is the furnace that will fuel our blended branded business. Given the continuous evolution of the self-care landscape, we are conducting a thorough analysis regarding the position of this business, including network design, capacity utilization and category penetration. 
 Our priorities through fiscal 2025 include relentless execution in our core business to maximize free cash flow generation and delever. The milestones are delivering margin expansion from Project Energize, returning our infant formula business to stable profitable operations, driving favorable outcomes with key customers in our U.S. store brand business. In parallel, we will continue to implement One Perrigo operating model enhancements to build a leaner, more efficient and agile global organization to enable our strategy. 
 Our longer-term objective for 2026 and beyond is to realize our blended branded strategy, a model that delivers sustainable, value-accretive innovation. We will have made targeted investments in our highest potential growth opportunities in most attractive categories and build consumer good capabilities. This will enable a global branded growth with a mind towards accretive margins, cash flow and returns. We look forward to further articulating this strategy at our Investor Day later this year. 
 As you may already see, Svend Anderson, President of CSCI will retire from Perrigo later this year. During his 7 years leading this business, Svend has played a pivotal role in the success of CSCI by focusing the portfolio, concentrating on innovation and brand extensions, all while making significant contributions to Perrigo's overall growth and development. On behalf of the Board of Directors, management team and everyone at Perrigo, we appreciate all that you have given, Svend, and all that you've done for Perrigo. Svend is handing over a business that has performed very well and I am confident that Roberto will continue to drive success. Roberto Khoury is joining Perrigo later this month and will officially lead CSCI in August. Joins Perrigo from ChemView and has more than 20 years of experience in branded consumer products, including leadership of pan-European brands, accelerating digital and e-commerce capabilities reducing portfolio complexity and improving integrated planning accuracy. I'm confident in Roberto and his ability to further our One Perrigo strategy. 
 In summary, we remain highly focused on our priorities, including our One Perrigo strategy. We reported a good first quarter, and we'll continue executing against our 2024 operational priorities. We are making great progress in strengthening and augmenting our infant formula network. Opill was off to a fast start, and we're on track to deliver our accretive initiatives. We will do this while progressing our blueprint for One Perrigo to consumerize, simplify and scale our business, all while focusing on cash, returns and deleveraging. With that, I will now turn the call over to our CFO, Eduardo to cover the financials. 
Eduardo Bezerra: Thank you, Patrick. Good morning and good afternoon, everyone. Looking at the first quarter financials, starting with the GAAP to non-GAAP summary. The company reported GAAP net income of $4 million or $0.03 per diluted share. Adjusted net income was $40 million and adjusted diluted earnings per share was $0.29 versus $0.45 in the prior year. 
 Primary adjustments to our first quarter non-GAAP P&L were: first, the removal of $113 million tax benefit, primarily driven by an $84 million benefit related to the planned intercompany sale of intellectual property; two, amortization expenses of $59 million; and three, restructuring charges of $44 million primarily related to our Project Energize and supply chain reinvention programs. Full details can be found in the non-GAAP reconciliation table attached to today's press release. 
 From this point forward, all financial results discussed will be on an adjusted basis unless otherwise noted. As highlighted, first quarter results were heavily impacted by the actions we are taking to strengthen and augment our infant formula business and SKU prioritization access to enhance margins. This led to an operating income decline of 22%. Excluding the impact of infant formula, adjusted operating income from the rest of the business grew mid-teens percent. 
 Let's dig into additional details. Looking at our segment performance during the quarter, CSCI continues to perform well, highlighted by plus 7% organic net sales growth. The strong top line performance was driven by growth in Compeed and the absence of distributor transitions that unfavorably impacted the prior year. CSCI gross margin was impacted by lower volumes, partially in the cough/cold category due to supply constraints and lower seasonal incidents across Europe. However, operating margin expanded 290 basis points to 19.7%, driven by expense reductions resulting from synergies and ROI-focused advertising and promotion spend as part of Project Energize. 
 I, too, would like to thank Svend for his tremendous efforts and leadership over the years. while also welcoming Roberto to the Perrigo team. With the CSCA infant formula and SKU prioritization actions weighed on Q1 performance, with net sales down 15.7% and organic net sales down 14.6%. Organic net sales from the rest of the CSCA business declined 2.3% due primarily to U.S. retail inventory destocking across most categories. As Patrick noted, we believe retail inventories should normalize in Q2. 
 First quarter CSCA gross margin declined 280 basis points versus last year, including minus 520 basis points driven by infant formula. The infant formula impact was partially offset by gross margin improvement of plus 10 basis points from SKU prioritization actions and plus 230 basis points expansion from the rest of the business driven by favorable product mix in U.S. OTC and Oral Care.
 Continuing these margins, Perrigo first quarter gross margin declined 90 basis points including an impact of minus 280 basis points from infant formula. When excluding this impact from infant formula, Perrigo achieved a meaningful year-over-year gross margin expansion of plus 190 basis points. All of these translated into operating margin expansion of plus 260 basis points, excluding the impact from infant formula.
 Two central takeaways here. First, the importance of augmenting and strengthening infant formula cannot be overstated. And second, margin across the rest of the business continue to recover and expand.
 Now to EPS. Infant formula, as expected, had an unfavorable $0.30 per share impact and SKU prioritization actions had an additional $0.06 impact year-over-year. These headwinds more than offset a benefit of $0.20 per share from the rest of the business, which included a reduction of $0.02 from the impact of exited products.
 Before turning to the balance sheet, a few comments on the proposed divestment of HRA Rare Disease business, which has been a key component of our 2024 deleveraging plan. This proposed divestment further supports our focused consumer self-care portfolio and the business will best flourish as part of the study group. We plan to redeploy the upfront proceeds of EUR 190 million later this year for debt repayments. Importantly, the financial impact of this proposed divestment was included in our original 2024 outlook. I would like to thank the HRA Rare Diseases team for their dedication and focus as they continue improving the lives of patients with rare diseases.
 Cash on the balance sheet at the end of the first quarter was $659 million. First quarter operating cash outflow was $1 million due to infant formula and restructuring costs primarily related to Project Energize. During the quarter, we also invested $25 million in capital expenditures and returned $38 million to shareholders through dividends. 
 Sources and uses of cash for 2024 were largely intact from our initial outlook, apart from upcoming cash tax payment related to the planned intercompany sales in actual property that will benefit the company over the long term. We continue to anticipate operating cash flow conversion for the full year of 90% to 100% of adjusted net income. Looking at the balance of the year, we expect Q2 to be our lowest operating cash flow quarter due to restructuring costs related to Project Energize.
 In addition, you may have seen that Perrigo recently settled a shareholder lawsuit for $97 million without any concession of liability or wrongdoing. We expect to pay the settlement in the second quarter using cash on hand and are seeking a full recovery from insurance providers this year. In total, we now estimate an cash balance for 2024 of between $500 million and $550 million. Importantly, we continue to expect a net leverage ratio of approximately 3.8x to 4x at year-end.
 Looking at EPS phasing for the year, our expected weighting between the first and second half remains unchanged. As discussed, timing of infant formula shipments realized in the first quarter which were originally expected in the second quarter are driving a change in our first half phasing. Outside of this, there are no updates to our previous phasing assumptions.
 Our 2024 outlook for total Perrigo also remains unchanged. Organic net sales growth of 1% to 3% is expected to be driven by new products, including Opill, pricing and the absence of the HRA distributor transition impact. These drivers are expected to more than offset volume declines primarily in infant formula and a negative impact of 1 percentage point to organic growth from SKU prioritization actions.
 All in net sales growth is expected to be flat compared to 2023 as organic growth offset by divested and exited business and products. Excluding infant formula from both years, we continue to expect gross margin expansion in 2024. We are reaffirming our full year EPS range of $2.50 to $2.65 million equating to mid-teens percentage growth, excluding infant formula.
 In closing, I would like to thank our Perrigo colleagues for their commitment to advance our One Perrigo vision and for their continued focus on achieving our 2024 priorities. Now I will turn the call back to Brad. Brad? 
Bradley Joseph: Thanks, Eduardo. Operator, can you please open the call for questions? 
Operator: [Operator Instructions] Your first question comes from the line of Susan Anderson from Canaccord Genuity. 
Susan Anderson: I guess maybe just to start out on the infant formula business. So I think it was maybe a little bit better than expected, I think, due to some early shipments. I'm curious, is that going to take away then from second quarter? Or should we expect kind of still a sequential improvement there?
 And then I think you noted that the back half sales volumes will return. I guess, I'm just curious with the plants now back up and running, why wouldn't -- we wouldn't see kind of a sequential recovery in those volumes? And then also just on the cost for the infant formula business, is that still in line with your original expectations? 
Eduardo Bezerra: Susan, Eduardo here. Thank you for your question. So I'm going to answer your first piece, and then I'm sure Patrick is going to cover more on the other side, right?
 So I guess the first thing is, as we planned on the quality release of our products, some of those products we were expecting to take place in the second quarter. So as we continue to make progress on our quality processes, we were able to release those products in the first quarter and get to customers that's so much needed. So that's just a timing issue. It doesn't change our overall production plans between Q1 and Q2. 
Patrick Lockwood-Taylor: Susan, this is Patrick. Thank you for your question. I guess, in a nutshell, the interventions to get to quality compliance and reliability have gone well across all 3 plants. Probably as importantly, the start-ups and the ramp-up volumes and the throughputs are at slightly ahead of expectation, but we are in the early stages of executing frankly, a new set of GMPs. It would be premature to take up financial outlook given we're still really in learning and reacting mode. But so far, very good. 
Susan Anderson: Okay. Great. That's helpful. And then so I guess on the destocking in the U.S. then, it sounds like you said across all categories, but really, I guess, mainly in cold and cough. It sounds like it's complete now. Is that correct? And then I'm just curious how inventories ended and particularly in cold and cough if they're kind of in good shape as we look into like the fall season. 
Eduardo Bezerra: Yes, Susan. So the way we're looking at and that's what we shared about the CSCA of the business, right? So we believe that the majority of that 2.3% reduction is really tied to that destocking, right? As we talked in the beginning of the call, we're seeing that across multiple categories. But most importantly, as you're aware, with a very light cough and cold season, that's something as well that impacted that. Yes. 
Bradley Joseph: Susan, on top, which I think you may have heard from the team here is the consumption is up nearly 2 points, while the sell into the retailers from us, so shipments were down. So you have essentially kind of a [ 2.5 ] point swing between those 2 and that's kind of a good way to think about. 
Susan Anderson: Okay. Great. And that's just really because of the late start to the season, so the retailers were already stocked and it just wasn't strong enough to have to restock. 
Eduardo Bezerra: Exactly. Correct. 
Susan Anderson: Okay. Great. And then one more just on the international business. I was curious what drove the growth in the skin care and personal hygiene. It looks like that was the strongest performance. And then upper respiratory was weaker. Was that also due to similar issues internationally with the weaker food season? 
Eduardo Bezerra: Yes. So the skin care is -- it was very strong on Compeed, right? So -- and this is aside from the lapping of the distribution transition, we had a very strong growth in the first quarter, which is very good also with the extension of Compeed [ the spots], right, that increase the overall category that we're playing on. But on the cough and cold, the same that we saw in the U.S. with a lighter season happening in Europe as well. So that's why you saw upper respiratory, including cough and cold, let's say, a reduction in volume there. 
Susan Anderson: Okay. Great. And then if I just add one more on the VMS category. It looks like it was weak both in Americas and international. I don't know if it was the same drivers there. Between the 2 regions, but then also, are you seeing consumers move away from BMS at all after a pretty strong focus on their health and wellness during COVID and post-COVID? 
Patrick Lockwood-Taylor: Yes. Just looking at the bigger picture, Susan, as we go back and look at SARS and other major events that disrupted VMS. You saw an immediate typically 10% to 20% increase in consumption during the SARS or indeed during COVID. You then saw a slight regression in the category for 1 to 2 years post that, but stabilizing at a level that was still 5% to 10% higher than pre the pandemic. And that's been true for about the last 3 events over the last sort of 20, 25 years.
 So I think what you're still seeing is some normalization, but we continue to see strong consumption and outlook on those businesses. There was also some very near-term sort of phasing promotional activity that sort of impacted us as well. But I would say, underlying strong consumption trends, these categories are markedly bigger than they were 5 years ago but just impact to some phasing activity as well. 
Susan Anderson: Got it. Okay. Great. If I could maybe just squeeze in one more. I'm curious what you're seeing on the trade down to private label in the U.S. And then I know international is a little bit dip, but are you seeing anything at all internationally that's impacting the branded business? 
Patrick Lockwood-Taylor: Yes, certainly, more focused on the U.S., which is 90-plus percent of our business. In the last one week or so, we've seen about a 50 basis point gain from store brand store brand volume share gain is actually about 150 basis points. So we are definitely seeing a better understanding of what these propositions are, what the molecule is, that bioequivalent but a tremendously better value. So as I think consumers continue to fill the sort of pinch in the U.S., we are seeing good increase in store brand business, which is, of course, very good for our business. 
Operator: Your next question comes from the line of Korinne Wolfmeyer from Piper Sandler. 
Sarah Morin: This is Sarah on for Korinne. On Opill with the expanded coverage, can you guys touch on how this has shaped your view on total revenue potential this year and then over the longer term? And then are you currently baking into guidance from Opill? And if there's potential that this could be less dilutive to EPS now? 
Patrick Lockwood-Taylor: Thank you for that. I'll give some high level on the insurance coverage that you've heard about and you're right to pick up on and then Eduardo more on the sort of near-term financial impacts. This was very good news from  CVS Caremark, obviously by far the largest insurance coverage there. We are still modeling through that only recently announced. We're still modeling through the impact of that, how quickly consumers will convert the degree of awareness of that, et cetera. It's a fairly sophisticated piece of modeling, and that's not complete.
 So I can't tell you what the revenue impact will be, but undoubtedly will be significant and accretive. We are also seeing states starting to provide coverage as well. You would have heard of Wisconsin. We expect others to follow both the state and CVS has moved, which we were very, very encouraged by really just improving accessibility only for this category. I think in terms of the more near-term effects ... 
Eduardo Bezerra: Yes. So I guess, are important to mention is, we're going to see Opill as margin accretive in 2024. But we continue with -- because all the investments that we're putting behind not only the brand but also as we think about how women's health, the whole category will evolve, we want to feel to be the carry of this brand for the future. So we want to make sure that the awareness is pretty strong. And so we continue our plans to see on an EPS be dilutive, the effect of Opill over the next 12 to 18 months. Okay? 
Operator: Your next question comes from the line of Chris Schott from JPMorgan. 
Christopher Schott: Can I just come back to the infant nutritional business? I guess now that we're just -- we're another few months into the process, what's your level of confidence that the have remediations have solved issues with these segments? I'm just trying to get my hands around, were these plant shutdowns, the most challenging piece of the process? Or is it the work going forward to make sure you can kind of stay in compliance, representing the biggest hurdle and showing a sense of just like level of confidence of where we are? 
 And then maybe as just part of that, if you could comment at all on just what portion of the $0.65 or so of impact from the remediation, do you think you're going to be [ patient ] to regain as we look out to 2025, I just have one follow-up after that. 
Patrick Lockwood-Taylor: Yes. Thank you, Chris. Good to hear from you again. I'll take the first part and Eduardo on the outlook. Each of those 3 blocks that you went through and characterized very well are equally critical, but they're sequential. You can't do the second one without the first, the third without the second obviously. The big intervention in terms of root cause analysis, corrective and preventative actions the translation of that into new GMPs, protocol, staffing levels, et cetera, is largely done, okay, across the 3 sites. As we executed in Wisconsin, we were able to accelerate the application of that know-how to the other 2 facilities and all facilities back in production mode, okay?
 So -- and as I suggested in my commentary, really putting start-up times and throughputs at or slightly ahead of our expectations. So we're very encouraged by that. To the point you might flip back is a permanent watch, and we have to make sure that our environmental cleanliness, monitoring, and GMPs keep us at all-time quality compliance. So we're not getting any positive hits and therefore, having to stop production. We're not and we're not.
 So that is extremely encouraging, okay? But we're having to continue to learn of what needs to be true such that those factors stay true and we maximize production and not seeing the very disruptive interruption to production that we did historically. So good, very early. I could not be happier in terms of where we are. It is too soon to say we have a 100% reliable model, but we are entering closer to that. 
Eduardo Bezerra: And Chris, to your question, right. So remember, we're talking about our expectation to get the infant formula business on an annual basis should contribute about $140 million, right? So that's about the $35 million quarter. And so everything that we're working right now is to make sure that in fourth quarter, we can achieve those levels. And that's why it's so critical, we may not set fully between Q2 and Q3, but we expect by Q4 to be at the debt run rate that will give us the confidence with all the actions that we're taking to make sure that from a production from a quality standpoint, reliability, market share, we can really consistently deliver against that $140 million of objectives, okay? 
Christopher Schott: Great. And just a bigger picture question. I guess, if you think about Perrigo going forward, thinking about kind of your 2026 and beyond plans. Do you feel like you have the right portfolio in place at this point? Or can we think about further refinements or divestitures as you look to focus the company on kind of some of the -- more of these growth objectives over time? 
Patrick Lockwood-Taylor: Yes. We will narrow our portfolio. We're much clearer on which categories and brands offer the most attractive growth of scalable growth, i.e., we can execute the same thing, the same innovation through the same production in more parts of the world. So we are completing that analysis now. I'm sure going forward, you will see a more focused portfolio for Perrigo and faster growth rates than at a higher OI. And we will share that thinking at the Investor Day late fall. 
Operator: And your next -- last question comes from the line of Daniel Biolsi from Hedgeye. 
Daniel Biolsi: So could you spend some time on the inventory destocking outside of cough/cold, like in sleep base, healthy, lifestyle, oral care? Is that permanent just timing or loss of shelf space? 
Eduardo Bezerra: So at this stage, we believe that there is an overall focus on retailers destocking the cost of that and also try to understand what the focus of consumers, right? So as we're seeing more and more consumer trading down [indiscernible]. I think retailers at this stage will be very careful. And given a year that they saw a lot of increases in 2023 and volume impact, they're trying to do more carefully about how they're going to manage their working capital as well as their inventories. And so I think that cross categories is not on specific to cough and cold, and so we're going to be watching that closely.
 But if there is an area where -- when consumers start to make those changes that we believe Perrigo has an advantage is really store brands. And we're seeing that coming along pretty well as we gained some share in the quarter. And so as consumers continue that direction, we believe store brand will continue to be very affordable opportunity for consumers to continue to take care of their self and so we are very well positioned in those categories. 
Patrick Lockwood-Taylor: But I think your quote is -- and your hypothesis is right. You're seeing more categories in self-care with a fixed amount of shelf space and an increasing focus by retailers on cash, return on working capital. And so I think you have seen some destocking. I think there is a natural floor to that for obvious reasons. Otherwise, they can't service their customers. We believe we're approaching that. 
Daniel Biolsi: And then if I could ask one more. What should we expect for the gross margin impact from infant formula in Q2? If Q1 was a minus 520 basis point impact, and we got earlier shipments, what should we expect in Q2 and we're going to lose those shipments? 
Eduardo Bezerra: Well, so we expect in Q2 margins to be in a much better situation. Remember, we had the 2 key effects there, right? So we had first is lower shipments, but also we had the variances that impacted because we had some stoppages in our manufacturing operations. We do not expect those onetime impacts take place in Q2. And so our margins should rebound significantly versus Q1. As compared to -- as we look into that into the second versus last year, volumes are not going to be at the same level of last year, but we should see an improvement on margins on a gross profit level as compared to what we did last year. 
Patrick Lockwood-Taylor: I think the quarter 1 gross margin decline overall for the business was [ 90%], and that included a 280 basis point impact from infant formula. That was the calculation for Q1. 
Eduardo Bezerra: But that's what I'm saying. In Q2, we do not expect a magnitude impact into the improvement as compared to what we saw last year. 
Operator: That ends our Q&A. I will now hand the call back to Mr. Patrick Lockwood-Taylor for closing remarks. 
Patrick Lockwood-Taylor: Thank you very much. So versus what we outlooked in February, what we said is what happened, what we said what we're going to do is what we've done and where we thought it would net out is where it netted out. So we feel we're on track to hit our '24 commitments. As we've talked several times today, the infant formula recovery is progressing per our critical path. Our start-ups and throughputs are encouraging versus our financial commitments.
 Additionally, we have -- and we have not talked much about it today, but Energize -- Product Energize was extremely well executed, and we're on or ahead of our targets there. Opill, it's very early, but we should be encouraged. It's a new standard for Perrigo in terms of launch excellence and much to learn and reapply from that. We remain laser focused though on executional excellence of our key '25 priorities heading through the financial commitments we've made. Thank you very much for joining us today. 
Operator: Thank you. That concludes our conference for today. Thank you for participating. You may all disconnect.